Operator: Good morning, ladies and gentlemen, and welcome to the Air Liquide Third Quarter Revenue 2016 Conference Call. [Operator Instructions] I'll now hand over to the Air Liquide team. Please begin your meeting and I will be standing by.
Aude Rodriguez: Good morning, everyone. This is Aude Rodriguez, Head of Investor Relations. Thank you for joining us for today's call. Fabienne Lecorvaisier will give a brief overview and then handover to Pierre Dufour for our achievements and the Airgas integration. Then Fabienne will represent third quarter revenue followed by the Q&A session. As a reminder, our next announcement for full-year 2016 results is scheduled for February 15th next year. Let me now hand you over to Fabienne.
Fabienne Lecorvaisier: Thank you all, good morning and thank you very much for being with us. The main event of our Q3 is of course the consolidation of Airgas for the first time for the full period, but moreover the merger between Air Liquide legacy business Industrial Merchant and Healthcare in US with Airgas effective October 1 as well as the successful conclusion of the refinancing of the acquisition less than five months after closing. Pierre will start with Airgas and I will then come back for the activity review. Pierre, can you please give us first on the data on the Airgas process.
Pierre Dufour: Thank you Fabienne and good morning everyone. We indeed achieved major progress during the third quarter and reached important milestones on the Airgas integration. First, we successfully went live on the ERP integration on October 1. Second, we completed 99.5% of our divestitures in good conditions. And third, we completed the refinancing of the bridge loan in good conditions as well. Let me give you a bit more detail on each milestone. Integration is proceeding very well, the new combined organization is in place and functioning smoothly. Salary and benefit harmonization are done and incentive programs are in place. All transactional and accounting systems have been merged successfully onto Airgas’ SAP platform. A few subsystems will be implemented Q1 2017, these are subsystems for which we have decided to upgrade existing software to a state-of-the-art version. An example of this is logistics optimization. The first synergies have already been delivered. For example, the closure of most redundant cylinder fill plants and logistic depots and this has been done as planned. The back office synergies have also been initiated and will accelerate now that the common ERP platform is in place. We are now committed to have the cost synergies delivered by end of 2018 earlier than indicated originally. The revenue synergies plans have been initiated as well. Cross selling to Canada and Mexico is underway as is the prospect of selling cylinders and our goods to the former Air Liquide customer base in the US. The first onsite offers have been made, an extensive salesforce training on those offers which the former Airgas did not is ongoing. In healthcare, the specific service and smart cylinders offers that Air Liquide but Airgas did not have, have also been launched. The major divestiture package through methods in dry gas has been completed for proceeds of US$781 million and a net gain after tax of US$250 million. This gain will now cover all of the one-time costs related to the deal and to the synergies initiation. The technical support agreement with Matheson should end within a month which will put an end to that chapter. We have agreement with the FTC for the balance of the divestitures, two small CO2 plants in Iowa that Matheson could not take. We should be able to close these in December. The refinancing of the bridge loan was completed early October with the issue of the new shares. The share issue was oversubscribed by a wide margin as were the euro and US denominated bond issues. This is a testimony to the interest of the financial community in the medium and long-term prospects of Air Liquide after Airgas. The pricing of both the debt and capital issues was favorable. In summary, concerning Airgas, all activities that made the deal possible from shareholder and regulatory approval to the divestitures to financing to integration were made successful and in good conditions. We now concentrate on delivering the synergies and manage the RSE to reach double digits again as soon as possible. Back to you Fabienne.
Fabienne Lecorvaisier: Thank you Pierre, let's now come back indeed to the global activity, including Airgas, consolidation group sales are up 24% as published. Our comparable gas and services sales are still robust, up 2%, which contrasts between the various businesses on which I will come back. Efficiencies are online, cash flow is strong and we pursue the deployment of our newest strategy. Looking at the detailed numbers on page 9, our gas and services sales for Q3 reached 4.8 billion and are up 29.9% including Airgas of course. For Air Liquide alone comparable sales excluding Forex and energy pricing effect are up 2% comparing to relatively high Q3 2015. Growth is solid in line with expectation in large industries and healthcare. Electronics is flat mainly due to exceptional equipment and installation last year and industrial merchant in still contracted. The environment remains complex for engineering activities. Sales are down 52% or minus 50% excluding exceptional sales in 2016 which is not very different from what we saw in Q2. Global markets and technologies are up 10.6% thanks to stronger sales in the maritime segment and biogas project development. Other activities continue to be impacted by weak end markets for welding and geopolitical events for diving. As a result, total group sales up 24% as published and minus 1.1% comparable mainly due to the unfavorable trends in engineering. I want to point out that the global environment remains relatively weak with Forex and energy headwinds for the quarter impacting our sales by 3.2% in total. Industrial pollution also remained low in most of the countries and in particular still negative in the US while inflation barely picks up. However, the stabilization seems to be confirmed. Slide 11 is our new graphic presentation of our sales evolution, gas and services are up 2%, but growth is hampered by the decrease in engineering, Forex and energy price. Airgas contributed 1.1 billion to the combined group for the quarter resulting close to 27% growth excluding Forex and energy. Our key growth drivers apart from Airgas of course are the growth of large industries and healthcare but also the positive dynamism in developing economies, in particular Latin America, Egypt and China. If we look on page 14, the value growth complements, the Airgas impact continues to ramp up, while we have a lower contribution of start-ups, ramp-ups and bolt-on acquisitions due in particular to the end of the Yanbu project affect. This business at plus 0.4% is also slightly under Q2 penalized notably by a working days effect. Moving to the geographical view, all zones are growing. In Europe, it is a modest growth; we are launched unit planned turnaround in Germany and Poland and less working days. Nevertheless bulk volumes in industrial merchant continued to grow quite steadily while organic cylinder sales remain flat. Healthcare sales are solid, home healthcare continues to grow while hygiene and specialty ingredients both had double-digit progression. Americas at plus 3% continued to benefit from strong volumes in large industries, we’ve ramp ups and Brazil and Mexico. Merchant continues to be impacted by the slowdown in oil-related sector and metal fabrication in North America in line with the investment project cycle. Latin America showed robust growth thanks in particular to better volumes in Brazil. Healthcare remains very dynamic in Canada and Latin America thanks to organic growth small bolt on acquisition. Asia is up 4% with China alone at plus 7%, large industries continue to be strong throughout the region while merchant is impacted by a slowdown in bulk in China due to the G20 break and to some price pressure. The slight slowdown comes from electronics but it’s partly due to high equipment and installation sales last year while Advanced Materials sales remain very strong. Africa Middle East up plus 2%, benefits from good growth in large industries and from the dynamism in Egypt. Conversely the merchant business is still significantly affected in oil-related countries. The same trends are visible in the businesses, large industries remains very robust supported by volume growth in particular for oxygen and nitrogen, a new unit ramp up. Merchant is still impacted by low industrial pollution in North America, but volumes are up but cylinder sales are low in oil-related and manufacturing and market segments. The global price effective is still positive at plus 0.1% mainly driven by Americas at plus 1.6%, while Europe is at minus 0.8% as in Q2, with Airgas progression is close to 80%. Healthcare continues to progress as expected driven by home healthcare at plus 4% as well as hygiene and specialty ingredients. Sales are significantly reinforced by Airgas contribution in medical gas. In electronics, sales are nearly flat mostly due to strong equipment and installation last year. Excluding this, sales are up 3%. Specialty gases are flat following a period of strong growth linked to new contract and advanced materials continue to progress at plus 11% and even at more than 30% in Asia. To be noted, book to bill is also back above one at 1.27. Engineering order intake continues to be lower than last year, even if we had a small pickup in Q3. The sales decrease is partly related to an exception that we mentioned last year. Conversely, global market and technologies had strong development with significant progression in order intake due in particular to advanced cryogenic, hydrogen mobility and biogas as well as [indiscernible]. A few words now about the combined performance, including Airgas. Efficiencies are in line with expectation, EUR80 million for the quarter and EUR223 million year to date, which should allow us to be close to the 2017 NEOS objective of EUR300 million a year. On top, the first Airgas cost synergies continue to materialize and as mentioned by Pierre we are comfortable that they will be delivered before the end of 2018 quicker than originally anticipated. Cash flow on sales remains robust at 18.6% and CapEx under control at 12.8% of sales aligning progressively with NEOS. In terms of investment decisions, the 12 months portfolio is stable at EUR2.2 billion and EUR620 million of new investment has been decided during the quarter. Around EUR120 million relate to Airgas and the balance is mainly in large industry and the electronics. With new three units starting in Q3 and 11 year to date, the contribution of start-ups and ramp ups now reached EUR200 million at the end of September as planned. The backlog of the total amount of projects above EUR10 million and which are still in construction is relatively stable. At EUR2.2 billion, with new projects signed compensating for start-ups. The projects after ramp up should deliver approximately EUR900 million of additional sales. We of course continue to focus on the deployment of our newest plan for each of the business lines. Large industries are aligned in terms of growth and cash contribution. In merchant, the Airgas merger is effective and we continue to deliver strong efficiencies. In healthcare, growth is also in the newest range, while we continue to expand in new territories. Advanced materials and electronic continue to develop strongly and finally global market and technologies are up more than 10%. So, to conclude based on the very good progression of the Airgas integration and on the robustness of the combined performance, we confirm our 2016 outlook which is to deliver net profit growth but also earrings per share even if we take into account the impact of the right issue. Thank you very much for your attention, we will now take your questions.
Operator: Thank you. [Operator Instructions] We will now take a first question from Tom Wrigglesworth from Citi. Please go ahead your line is open.
Tom Wrigglesworth: A few questions if I may. The first question is on the electronics business. Obviously, you note the equipment and installation is running a little bit weaker but the underlying level is 3%, perhaps still looks to be quite a lot weaker than what we've seen in over the previous year or so and the target level out to 2020 is 7% to 9%. So, how quickly now that the book to bill is above is 1, can that 3% return to what you anticipate is that 7% to 9% level. This is my first question. And the second question is on Airgas. Could you just give a little bit of a color about how their third-quarter performed versus the previous? I think it’s down a little bit more significantly than industrial merchant in the Americas and is that pricing or is that volume heavy. A little bit of color about how Airgas’s quarter is playing out on the hardware versus gas split? Thank you.
Fabienne Lecorvaisier: So, I will take the question on electronics and Pierre will answer for Airgas. So, in electronics, we are now comparing two periods in 2015 where we already had a strong pickup. So sequentially the business remains solid and is not decreasing. The book to bill is above 1, so E&I will pick up. However we had very, very strong E&I in Q4 last year, so the comparison may not be positive despite quite a high level. Same for ESG, sequentially we still see our volume remaining or increasing but we are comparing to periods where last year we already had a pickup. So, for Q4, we remain confident that sequentially the activity will continue to progress, the comparison to last year will remain difficult.
Tom Wrigglesworth: [Technical Difficulty].
Fabienne Lecorvaisier: Excuse me?
Tom Wrigglesworth: So, in 2017, the outlook should be - for the business should be better again?
Fabienne Lecorvaisier: Well, we are still quite confident in electronics, we have signed a number of new contracts, so we don't have anything [indiscernible] decrease of the activity, it should continue to strong in 2017.
Pierre Dufour: On Airgas, Airgas’ third quarter, the sales are - the sales of gas business are roughly similar to our legacy business sales, which is slightly negative. Hard goods of course are more impacted, it’s a low margin business, but they are more impacted and they’re impacted in the same way as the previous quarters, hard goods in the order of minus 8 to 10%. So we have sales, sales of gases which are in the neighborhood of minus 1.5% to 2% and the margins are holding. So the business is very similar to our traditional business in that sense. Pricing at Airgas is positive, albeit less than it has been in the future, it’s about plus 1%, so it’s not so bad. Basically the bulk is not doing too badly; the medical is not doing too badly, the cylinder - the industrial cylinder business is what is difficult this quarter. So, this is what the market is offering us at this stage.
Operator: We will now take our next question from Martin Roediger from Kepler Cheuvreux. Please go ahead, your line is open.
Martin Roediger: And yes, thanks. Hope you can hear me well. One follow-up question on electronics, when I look at the regions then I struggled to reach this minus 0.5% comparable growth rate. So it must be the small electronics business in Europe which is heavily down, maybe you can confirm that. Second question is on European cylinder gas, which was weak and you mentioned in particular the business for acetylene, can you explain why? And third question is on concentration of Airgas. I remember that the FTC required that you dispose activities from Airgas in the [indiscernible] 270 million annual sales; you booked in Q2 and obviously also in Q3, part of this 270 million sales which is basically discontinued business. I understand that you will dispose that business to Matheson dry gas in one month’s time. So I wonder if you will make good for that if the exaggerated sales figures in Q2 and Q3 than in Q4 when you dispose that business? Thanks.
Fabienne Lecorvaisier: So for electronics what we said is that the underlying trend is at 3%, okay. We are through discrepancies between regions; Europe is down in electronics but remember Europe is only 10% of electronics side not driving the full business down far from there. And we still have a very good growth in Advanced Materials in Asia, while our carrier gases sales remain solid. So that’s how we come to the 3%. European cylinder, do you want to answer on acetylene, while acetylene is mostly for welding, so it’s more construction, which is still difficult.
Pierre Dufour: Acetylene is a gas that’s used mostly in the cutting and of welding and cutting market segment. And it’s basically used when you have a heavy steel fabrication going on and that gas has been on a slow decline in Europe for now a number of years and this weakness is just continuing, so it's basically again linked with the heavy steel fabrication market.
Fabienne Lecorvaisier: I’m not sure I got your question on the divestiture, when we talk about comparable sales it’s excluding the divestiture because it is large perimeters. So it will be taken out of the comparable basis and we sold in September, so it’s not anymore in our numbers, it was until the day of the divestiture, but it’s not anymore, does that answer to the question.
Martin Roediger: So that means in the report, the sales figures, it’s not anymore included in Q3, but it was included in Q2 correct?
Fabienne Lecorvaisier: It was included in Q2 and in Q3 we have it for eight days.
Martin Roediger: For eight days. And regarding the full year, will you make good for the let’s say exaggerated sales in Q2 then by adjusting the figures in Q4?
Fabienne Lecorvaisier: Well in Q4, when we will present the published numbers of course the divestiture won't be in there anymore, but when we present the comparable number we will adjust for the impact of the divestiture. So comparable numbers will be without Airgas and without the divestiture, so in Q3 two months and a week because the sale was effective beginning of September.
Operator: We will now take our next question from Patrick Lambert from Raymond James. Please go ahead your line is open.
Patrick Lambert: I think Airgas has been mostly answered. Just two question, on engineering being weak, is there any restructuring to be expected or how do you plan to mitigate the slowdown of engineering over the next few quarters or are you seeing sufficient rebound in orders to not do it? First question. Second question very quick one on Aqua Lung, any details you can give us in terms of closure, type of closure and the way we should think about valuation of Aqua Lung? And last one is a housekeeping one, so, the Q4 large industry numbers, I think you mentioned turnaround at one of your big European H2CO customer, I think it is also likely to be enforced measure for part of Q4, should we factor something in and what could be the impact there and also Yanbu, I think you were mentioning some potential turnaround in ‘16, shall we also console that in for Q4? Thanks.
Fabienne Lecorvaisier: Okay. So maybe, Pierre will answer on E&C and I will take the two others.
Pierre Dufour: Okay. Engineering restructuring, we have been continuously restructuring engineering for the last year or so. The headcount in engineering is down by in excess of 1,000 people since that period, so it’s not like we have not been acting, but the market is plummeting as fast as we can restructure. So it's, there is a point where we can't restructure anymore, because we’ll lose some critical competencies, we’re close to that. But we’re still looking at ways to reduce costs and we will not wait for a rebound, it's just not the way we do things. We adjust as the market evolve and not in anticipation of when the market will evolve favorably. So, yeah, restructuring has been a constant agenda item on engineering for the last 12 months.
Fabienne Lecorvaisier: Okay. So we announced that we were entering into exclusive negotiation with a buyer. We have a certain number of regulatory approval that we need to go through as well. So we hope to be able to close before the end of the year. It will be a positive transaction we’ve had, generating a capital gain, but it’s very difficult to tell you more at this stage. We will come back to you on this one as soon as possible. In large industry, yes, we mentioned in Q3, a turnaround in one HyCo plant in Germany that should not be pursued in to Q4, however, as mentioned before, in Q4, we are expecting a turnaround in Yanbu in Saudi, which is our major hydrogen plant as you know. Nevertheless, as we still have ramp ups of new unit, we expect the performance in large industry to be at the level of Q3 also. We don't anticipate any slowdown in the growth because we see that start-up and ramp-up compensating for the turnaround, more than compensating.
Patrick Lambert: About 4% again?
Fabienne Lecorvaisier: Well, I’m not talking about Q4, but Q3, that’s right.
Pierre Dufour: And as far as the customer’s forced measures, if you are referring to the major accident that occurred a few days ago, or maybe a week ago, in Ludwigshafen, this is not a site where we have business. So it’s not going to affect, of course, it’s very sad for the operator there, but it’s not something that will affect us. We do not have any business on that site.
Patrick Lambert: I was more thinking about [indiscernible]?
Pierre Dufour: Not aware of any force majeure coming at [indiscernible].
Fabienne Lecorvaisier: No, no - turnaround, but no force majeure.
Pierre Dufour: We will check.
Patrick Lambert: They have nitric acid problems? We may have to shut down their TDI, MDI production lines?
Fabienne Lecorvaisier: Thank you. Next question please.
Operator: We will now take our next question from Stephanie Bothwell from Bank of America. Please go ahead. Your line is open.
Stephanie Bothwell: Thanks, operator. Good morning and thanks for the opportunity to ask my question. I had one on North America industrial merchant, which in the quarter, the underlying growth there ex-Airgas contracted by 3%. You also make the comment in the statement that you have seen inflection point in activity over the course of the quarter. When I look at the lead indicators, that's not really visible just yet. So I was hoping you could perhaps give us some additional color on where exactly you see things turning in terms of end markets? And linked to that on pricing, pricing was up 1.6% in the quarter, down from the 2.8% that you had in the first half. And perhaps, if you could give us some additional color on what’s happening with pricing and the competitive pressures that you’re seeing in North America? Thank you.
Pierre Dufour: Okay. I will take this one. When we talk about inflection, it's basically, technically speaking, we take the three-year average, three-month average, excuse me, we compare it to the 12-month average and when the three-month average is above the 12 month average kind of curve, it means that there is an inflection that has been reached, and that's what we've seen. So it's kind of a statistical analysis of our volume curves, which leads us to conclude that we might have bottomed out. Nothing more than that, it's not a market-by-market analysis, it's basically a statistical analysis of our volumes over three and 12 months. As to the markets, our food, beverage, automobile markets, our pharma markets are still growing. What is still being affected is all of the fabrication market, metal fabrication markets and the energy markets, but it’s basically a continuation of the trends we've seen in the past. We don't see major changes - except for this statistical inflection, we don't see much changes in those markets that are visible today. As far as pricing goes and the competitive situation, everything is basically normal. I guess everybody is in the same situation, struggling to find volumes, but we don't see any impact on the competitive situation, that is worrisome at this stage. Pricing is mostly driven by the fact that there is no inflation and basically for all of our sales, which are indexed on energy, we have kind of automatic price reductions that come from those formulas, which are still affecting us, but apart from that, there is no real issue with the competitive situation in the US.
Stephanie Bothwell: Okay, many thanks.
Operator: We will now take our next question from Jean-Francois Meymandi from Morgan Stanley. Please go ahead. Your line is open.
Jean-Francois Meymandi: Hello, good morning. Two on my side. The first one, did I hear correctly that at this point, the turnaround in Q3 - in Q4, sorry, you expect to report in large industry, the same growth rate of 5% in Q4? And the second one on pricing in the US again, so do you see different trends going forward into Q4 between your traditional businesses in Airgas in terms of clients?
Fabienne Lecorvaisier: Large industry, I said the growth should not deteriorate, Q4 to Q3 and I won't say more. So we are very confident in our performance in our industry. For the full year, we are confident that it's going to be aligned with US. In terms of pricing, we've said all along that the Airgas portfolio is better balanced in terms of end market than the Air Liquide portfolio, so it will be also the case for the combined business that should help us. Do we see something very different from what we've seen since the beginning of the year? Too early to say at this stage.
Jean-Francois Meymandi: Just quickly back on the large industry, can you share with us how much of start-ups you have planned for Q4?
Fabienne Lecorvaisier: We are, at the moment, at 11 startups year-to-date and we expect to have 15 or 16 for the full year. But it’s not only large industry, we also have start-ups in electronics.
Operator: We will now take our next question from Neil Tyler from Redburn. Please go ahead. Your line is open.
Neil Tyler: Good morning. Thank you. Just one left from me, which relates to the slight acceleration in your optimism over the synergy targets and I wonder if you could give a little bit more explanation as to what is behind that, whether the - I mean, clearly, things have started well, but that's still quite a long way to run to the end of next year, or sorry to the end of 2018. And therefore how at this stage, you can feel confident to bring that sort of deadline forward a bit? Thank you.
Pierre Dufour: Thanks for the question, Neil. The confidence is based on the fact that our synergy delivery is actually broken down in something like 200 specific projects. Each of those projects has a team, has objectives. We review these projects monthly in detail and we've done that five, six times already this year, and basically every time that we review those, we converge into end of 2018 as the likely date for when everything will be delivered from a cost perspective. So we are very, very confident because of this very, very tight project management activity that we have on those projects.
Neil Tyler: Okay. That was all for me. Thank you.
Operator: [Operator Instructions] We will now take our next question from Peter Mackey from Exane. Please go ahead. Your line is open.
Peter Mackey: Good morning, everybody. Just three fairly small questions I think now. Fabienne, just to pick up on something you said in your introduction, you talked about some additional price pressure in China. I wasn't sure if that was related to the G20 that you also mentioned. I wonder if you could give us some color on that, did that accelerate during the quarter, because I just noticed that the APAC pricing effect wasn't too bad in the third quarter, so do you think that's going to be worse in the fourth? Second question, I still want to push you on electronics, because if I look back at the comps even over the last couple of years, there wasn't a significant difference in certainly our - in the reported organic growth in each quarter. So it does feel as if there has been a certain dip down in activity in Q3. You seem to imply, you think, it's going to accelerate again in the fourth quarter, but I'm just trying to understand that in the context of that 7% to 9% guidance that target that you have in mind, it just certainly seems if we've dropped away from that and I wonder if you can talk a little bit about visibility there. Finally, just wanted to pick up, you mentioned some gains on - potential gains on the Aqua Lung disposal, you’ve also obviously booked gains from the anti-trust disposals. Your guidance is for growth in net profit and earnings, but presumably that includes the net effect of gains and exceptional charges. Could you give us a rough idea of what you think that net effect might be and whether you think you’d get net profit and EPS growth if you were to take out a net gain at that level please, so on a clean underlying basis? Thank you.
Fabienne Lecorvaisier: Coming back to China, in China, the G20 affected mostly bulk volumes, so we have bulk volumes pretty flat, when our cylinders volumes continue to grow. That is where we have price pressure on the cylinders. This has been the case since the beginning of the year. So no acceleration and once again it’s been under a small compare to bulk for Chinese business. If we look now at electronics, we had a comparable growth between 10% and 15% since the beginning of 2014 until the end of Q2. So this is very, very strong growth if you accumulate that. So we are now more coming to stabilization period. We continue to progress sequentially, but growth to the period one year ago is far less impressive, but if you look at the history, it has been extremely strong since Q1, 2014.
Peter Mackey: Sorry to interrupt, but should we think then about Q3, Q4 and maybe the first half of next year as offsetting some of this very strong growth over the last two years and we should think of a sort of average rate.
Fabienne Lecorvaisier: Yes. It will certainly show a quite significant slowdown in growth. Even if once again sequentially, it will continue to be positive. Aqua Lung and other divestitures, so the assumption is that capital gains will offset one-off costs and there are many linked for the financing and refinancing of the acquisition, linked of course to the M&A cuts, linked also to the integration, I mean, the integration of Airgas implies certain number of restructuring, which are costly, which are for the future of the group, but which are quality. So we may have a positive balance, it depends if we are able to close the Aqua Lung transaction before the end of the year, we are of course trying to but not everything is in our hands. That's why we are waiting for a certain number of regulatory approvals. We may have a small positive balance. When we published our guidance, our new guidance with Airgas in Hatch one, we were not expecting a positive balance of the divestitures versus one-off costs.
Peter Mackey: That's very clear. Thank you very much.
Operator: We will now take our next question from Markus Mayer from Baader Helvea. Please go ahead. Your line is open.
Markus Mayer: Hey. Good morning. Markus Mayer from Baader Helvea. Two questions remaining. Firstly, on healthcare, you say that you’re looking at new investments in the US. Can you also give us a light, if your market view there has changed, previously you saw the Saska market as not that interesting? And secondly, the dynamic at Advanced Materials, can you shed some light where this dynamic is coming from and how sustainable you see this down?
Fabienne Lecorvaisier: So in healthcare, our development is based on two periods, new territories and new pathologies and we’re clearly deploying our newest plan in healthcare against longer strategies. The market view has not changed. We have communicated about investment in the production unit in the US for our two [indiscernible] hygiene products and specialty ingredients, so that we announced our production capacity in Americas. We also have done small bolt-on acquisition in developing economies, so we continue to deploy the strategy along the way what we have announced. In Advanced Materials, well, the dynamic is based on the development that we've done with new customers, you know that the strong development in Advanced Materials has been initiated by the acquisition of Voltaix in the US and in Korea and we are capitalizing on that to extend our relationship with the largest player in electronics to develop for them properly three molecules that they use in their most sophisticated process and this is a continuous development on which we focus.
Markus Mayer: Can I ask another question on the healthcare part, is that new territories and correlation to this competitive period and therefore the small players stepping out of the market or what can we understand on the new territories.
Pierre Dufour: Yeah. I think Fabienne’s comment was about the worldwide strategy where we enter into new territories. In the US, we do not have a strategy to compete in the home healthcare business. That has not changed and for it to change will require some pretty significant changes in the markets or in the evolution. So the investments we’re talking about in the healthcare in the US are mostly related to this new ingredients plant that we’re building in Virginia that would give us a footprint in the US to develop the sales in that market. And as to Advanced Materials, there are two types of materials, the ESGs yeast cheese and the Advanced Materials. The ESGs are mostly used for, I would say, the legacy technologies of the customers. The Advanced Materials are used for the new technologies of the customers. Today, we are working extremely hard to supply our customers that are already in the 10 to 12 nanometer geometries for their chips. Most of the customers are already looking at the 5 to 7 nanometer geometries and we are now starting to develop, through our R&D efforts, develop molecules for that new geometry. So today, basically, we are really pushing hard to sell as much as we can in the existing best technology, which is 10 to 12 and we are already ramping up research to develop some new molecules for the 5 to 7.
Markus Mayer: Okay, perfect. Thanks so much.
Operator: Our next question comes from Patrick Lambert from Raymond James. Please go ahead. Your line is open.
Patrick Lambert: Yeah. Thank you for taking the follow-on. Three follow-on questions. Would you venture into giving us a target, the synergy target for this year in terms of Airgas integration? Question number one. And again, electronics, just to complete the questions, I remember that in the past two years, you had a lot of ramp ups, would you comment on the proportion of ramp-ups versus base business in electronics, let's say year-to-date or in Q3 would be useful to gauge that? And last question, you have a few large projects coming over the next two years, are there any reason to think about delays of those, especially the methanol projects I think is pretty unchanged, but if you could comment on the large big projects you have over the next two years in terms of delivering those? Thanks.
Fabienne Lecorvaisier: Okay. So first question in terms of Airgas synergy for 2016, the target is as much as possible and we will share the numbers with you at the end of the year. In terms of the electronics, you need to understand that the ramp-up, started some ramp-ups, mainly I’d say the carrier gases season, the contracts, the new contracts are for E&I, equipment and installation, and then for carrier gases. If you look at the performance year-to-date, we have started the ramp up a factor of 1.5%, I would add the 7% growth year-to-date to give you an idea. So it is relatively modest, because it’s mostly affecting the carrier gases. Large projects, Pierre.
Pierre Dufour: Yes. The three large projects which are probably notable, you talk about methanol, we have a methanol driven project in Texas, which is going very well, which should start-up early next year or mid next year. We have of course, this project was a little bit delayed at the inception because of market reasons from the end markets, but now it’s on track. We have one large project in China, which will start-up in the third quarter of next year, which is slightly later than what we originally anticipated, but not significantly and we have a very large air separation unit in South Africa, which should start-up late next year as well.
Patrick Lambert: In china, the fusion right, the big fusion project?
Pierre Dufour: Yes.
Operator: There are no further questions from the phone.
Fabienne Lecorvaisier: Well, if we have no further question, we will stop there. Thank you very much for your attention. At the conclusion, I will remind you that this quarter is more of a major step forwards in the Airgas integration, divestitures and the refinancing. We are quite proud of having been able to conclude this process less than five months after closing. Apart from that, our activity is holding relatively strong in the context, which is contrasted and we are confirming our outlook for the full year. Thank you, again. Have a very good day.
Operator: That will conclude today's conference call. Thank you for your participation. Ladies and gentlemen, you may disconnect.